Operator: Good morning and welcome to WesBanco’s Conference Call. My name is Patrick Wright and I will be your conference facilitator today. Today’s call will cover WesBanco’s discussion of results of operations for the quarter ended June 30, 2014. Please be advised all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. This call is also being recorded. If you object to the recording, please disconnect at this time. Forward-looking statements in the presentation relating to WesBanco’s plans, strategies, objectives, expectations, intentions and adequacy of resources are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The information contained herein should be read in a conjunction with WesBanco’s 2013 Annual Report on Form 10-K and other reports which are available on SEC’s Web site under www.sec.gov or at WesBanco’s Web site, www.wesbanco.com. Investors are cautioned that forward-looking statements, which are not historical fact involve risks and uncertainties, including these detailed in WesBanco’s 2013 Annual Report on Form 10-K filed with the SEC under the sections Risk Factors in Part I, Item 1A. Such statements are subject to important factors that could cause actual results to differ materially from those contemplated by such statements. WesBanco does not assume any duty to update any forward-looking statements. WesBanco’s second quarter 2014 earnings release was issued yesterday and is available at www.wesbanco.com. This call will include about 25 to 30 minutes of prepared commentary, followed by a question-and-answer period, which I will facilitate. An archived webcast of this call will be available at www.wesbanco.com. WesBanco’s participants in today’s call will be Todd Clossin, President and Chief Executive Officer and Jim Gardill, Chairman of the Board and both will be available for questions following opening statements. Anthony Costantino, Senior Vice President and Controller will also be in the room to answer questions. Mr. Clossin, you may begin the conference.
Todd Clossin: Good morning. Thank you for participating in WesBanco second quarter 2014 earnings call. We’re pleased you’ve joined us this morning to hear about our strong operating results. I’ll be making some opening comments, Jim Gardill our Chairman will moderate the question-and-answer period and as just mentioned Tony Constantino our Controller will also be in the room to answer any questions. Bob Young our CFO is recovering from outpatient eye surgery, I expect him back in the bank next week. A press release detailing the results for the second quarter was issued last evening. A copy of the entire press release is available on our Web site. We will assume all participants are familiar with WesBanco and we could begin our discussion of the second quarter financial results. I’ve enjoyed my first quarter as CEO, feel that the transition has gone well. Moving forward, I plan to continue to focus the bank on many of the same strategic things you have heard from us in the past. I have also been working with our leadership team to accelerate execution in several key areas that I will talk about in the few minutes. Serving as Chief Operating Officer for six months prior to becoming CEO, has allowed me time to learn the Company and has also me provided time to work with the team on the introduction the new processes and products that are helping to drive sales accountability and additional revenue. WesBanco had a very strong second quarter. Our results were better than the first quarter of this year and were also better than the second quarter of 2013. We’re able to increase second quarter earnings to 18.9 million as compared to 16.4 million for the first quarter of 2014, representing an increase of 14.9%. As compared to the second quarter of 2013, net income increased 10.9%. These strong earnings enabled us to achieve a return on average assets of 1.15% for the first half the year. We delivered earnings per share of $0.64 for the quarter which represents an increase of $0.08 per share or 14.3% as compared to the first quarter of this year. Our increased earnings were driven in-part by improvements in net interest income, the growth in assets and a continued reduction in the cost of funds. Growth in our trust fees, security brokerage revenue and disciplined expense management also contributed to the strong quarter. We have shown nice growth in assets over the past 12 months with portfolio loans growing 3.8% over the last year and 1.5% over the prior quarter. Loan originations were $1.4 billion over the same time period. We continue to focus on diversifying our loan originations and developing a solid balance of commercial construction, commercial real estate, middle market, small business and consumer loans. During the quarter, several large construction loans were refinanced into the permanent market as developers took advantage of the aggressive long-term fixed rate financing options available to them. While this planned refinance activity impacted overall loan growth, we more than replaced the refinanced loans with new production during the quarter. New commercial loan production has grown significantly with increased calling levels and more robust economic activity in our markets. We definitely saw a rebound in loan activity from the first quarter that has allowed to rebuild our pipelines across all markets. We are continuing to hire commercial bankers in our urban markets and C&I production is well above the planned levels, reflecting good execution against our loan portfolio diversification strategy. Lower cost core deposit growth generated through the Marcellus and Utica shale initiative as well as through our continued focus on acquiring new households, allowed us to generate a 178.6 million or 3.6% deposit growth over the past year. All deposit categories have increased over the past year with the exception of CDs which decreased due to lower rate offerings for maturing CDs. We continue to take advantage of the balance sheet liquidity that shale-related deposits are providing to us and using those deposits to reduce our higher rate borrowings. The ability to reduce deposit and borrowing cost has continued to provide us the opportunity to optimize our funding cost and improve our net interest margin. This deposit remix strategy that we have been deploying have been very good for us and I believe will be even better, stronger strategic advantage for us in a rising rate environment as mentioned during previous calls. The deposit flows have been very consistent and much of the infrastructure needed to move gas from the wells is still being built. Royalty payments will increase as gas production increases over time. We have the geographic good fortune of having 71% of our franchise footprint located within shale-related areas. Non-interest income increased 2.9% compared to the second quarter of 2013. Trust fees increased 8% from the same quarter last year. For the first six months of 2014, trust fees are up 10.4%, reflecting double-digit growth as compared to the first six months of 2013. Total trust assets are up 11.7% over the past year. Securities brokerage revenues increased 22.1% as compared to the same quarter last year with both existing markets and newer markets contributing to the growth. Our strong background and expertise in trust and securities business continues to be effectively levered across our entire franchise. We continue to execute upon our investment management initiatives in an effective manner to help our customers manage their new found shale-related well. Expenses continue to be very well managed with non-interest expense up 2% for the second quarter compared to the same period last year. As I mentioned last quarter, driving positive operating leverage with our capital and human resource investments, is a frequent focus of discussion. Credit quality continues to improve. Charge-offs stood at just 0.06% of average portfolio loans for the quarter with both criticized and classified loans continuing to decrease to more normalized levels. Over the past 12 months, criticized and classified loans have decreased 23.6%. We have a new branch opening at Southpointe in the Pittsburgh area within the next few months. Our two most recent branch openings in the Columbus area are performing very well and we continue to look for optimization opportunities within our branch network. Our Downtown Columbus branch was opened last November now has $44 million in deposits and loans of almost $31 million and is already profitable on both a month-to-date and a year-to-date basis. We have also had over 1,000 non-customer ATM transactions, adding to our fee income stream at that location. Regarding sales management, we have introduced new sales management processes to drive clear and crisp sales execution across our company. Performance scorecards have been developed and introduced at both the line of business and geographic market levels. These scorecards are serving to both hold people accountable for results and to foster our culture of best practice sharing. New household growth measurements and referral commitments between business lines are example of what is reviewed by me with each of market presidents every month. Cross-sell numbers have also been increased as new sales metrics focus performance around our first 90 day and longer term cross-sell statistics. In the product area, we have revamped an existing home equity product that is now showing considerable growth with production up 181% over the first quarter of the year and 75% over the same quarter of last year. Several other products and packaged products are under consideration. We have also started to build more of a segmented sales approach to our commercial efforts in our urban areas with more defined small business and middle market sales teams. On the acquisition front, we continue to look at opportunities within our existing footprint. We also remain open to opportunities in urban markets contiguous to our existing footprint. Overall, I feel very good about the second quarter performance of the bank. Our past investments are driving positive operating leverage. Our key strategies such as diversifying the loan portfolio and remixing deposits are continuing to yield tangible benefits. And we have implemented new sales management tools and accountability metrics. It’s been a busy quarter but I am pleased to see the team’s hard work reflected in our overall performance. Now turning to a deeper discussion of the financials, as I mentioned per share earnings were up 14.3% over the first quarter and 10.3% over last year’s second quarter. ROAA and ROTCE improved over the first quarter ratios and the efficiency ratio dropped from 60.57% last quarter to 58.93% this quarter. Peer group data from the quarter indicates our ratios exceed most of the comparable figures of 1.03% and 11.95% for ROAA and ROTCE versus our 1.22% and 16.9% for the second quarter while peer efficiency ratio was 63.56%. Free tax pre-provision ROAA was 1.81% for the second quarter and on a fully diluted year-to-date basis, earnings per share was up 6.2% from a $1.13 to a $1.20 per share. Turning to net interest income, factors influencing the 2.3 million or 5% growth in net interest income from last year’s second quarter include 2.8% higher average earnings assets fueled by 4% growth in average loans and lower interest expense with cost of funds dropping from 0.77% to 0.52%. The second quarter net interest margin also grew from last year’s 3.56% to 3.64%. WesBanco experienced a 36.5% drop in average higher cost FHLB and other borrowings and higher cost CDs decreased by 10% while non-interest bearing and low cost transaction accounts increased by 10.4%. Deposit cost declined 23 basis points to 0.43% from last year’s 0.66%, primarily due to a 0.52% cost decrease from maturing CDs and the mix shift to lower cost transaction accounts. In addition, the margin benefited by an earning asset shift to more profitable loans and cheaper funding sources, including a 14.8% increase in non-interest bearing demand deposits. On year-to-date basis, the net interest margin improved to 3.63% from 3.6% as earning assets grew 2.9%, led by a 4.9% loan increase and cost of funds decrease from 0.79% to 0.54%. Excluding purchase accounting related accretion from a 2012 acquisition from all periods as well as a $482,000 federal tax related interest refund in the second quarter, the quarterly net interest margin would have been up 10 basis points from 3.48 to 3.58 while year-to-date it would have been 3.59 versus last year’s 3.49. Now turning to non-interest income and expense. Non-interest income increased 2.9% for the quarter as compared to last year’s second quarter due to an 8% increase in trust fees, a 2.3% increase in debit card and other electronic banking fees, a 22.1% increase in net securities brokerage revenue and a 12.3% increase in other non-interest income, somewhat offset by an 8.6% decrease in deposit service charges and a 32.2% decrease in mortgage banking income. Service charges were down, continuing the recent trend due to regulatory changes and customer usage pattern as well as higher average deposit balances for account. As mortgage volumes have decreased industry-wide since mid 2013, a 45% decrease in WesBanco’s year-to-date production caused the reduction in mortgage banking related gain on sale income. The ratio of purchase money versus refinance related mortgages in the first half was about two-thirds, one-third while last year refinance has comprised about 54% of first half production. About 38% of total year-to-date 120 million in mortgage volume was sold in the secondary. New Dodd-Frank qualified mortgage ability to repay rules also had an impact on approved mortgage volumes. Core non-interest income for the quarter excluding a $970,000 BOLI gain benefit, net securities gains and OREO gains and losses would have been up 2%. For the six months year-to-date, non-interest income was about the same as last year, while on a core basis adjusted for the security gains and OREO gains, losses and debt benefits recorded on BOLI in both this year’s second quarter and last year’s first quarter, core non-interest income was up by 2.5% for similar reasons as noted in second quarter. Overall expenses were up 2% for the quarter over last year’s second quarter and were consistent with the first quarter of this year. Normal salary increases, higher brokerage commissions and higher incentive compensation along with new business related hires were somewhat offset by lower employee benefits mostly due to lower pension expense. Equipment expense was up due to upgrades to data processing and communication infrastructure and new teller machines, cash recycling machines in our branches had also helped to control branch related FTEs. Marketing expense was up due to timing of expenses related to the bank’s spring consumer loan and checking account campaign and related earned customer incentives. Drops in FDIC insurance expense, intangibles, amortization and certain other operating expenses such as professional fees, communication expense and OREO foreclosure related expense, helped to hold down total non-interest expense. For the six month period, net of last year’s merger related expenses, total core expenses were up only 1.7% with similar factors to the quarter. With this year’s occupancy and equipment expenses being somewhat higher than last year’s due to first quarter’s more severe weather related maintenance expense affecting total cost. Income taxes were up at a higher pace than pre-tax income due to a higher effective tax rate year-to-date of 25.7% versus last year’s six month rate of 24.9%. Turning to the balance sheet, total assets were up 3.2% from last year and 2.2% from year-end. Total portfolio loans were up 1.3% over year-end totals and 1.5% over March 31st but they were up 3.8% or 145 million from last in June 30 as I mentioned earlier in my comments. Total commercial loans were up 2% from year-end while home equity loans were up 3.7% due to the recent promotion and product redesign I also discussed. Mortgage loans were up almost 1% despite lower overall volumes while consumer loans were down 6.9% due to a de-emphasis on certain direct and indirect lending types and lower seasonal demand earlier in the year. Overall, loan originations were $625 million for the first half, contributing to the uptick in outstandings. Loan volumes grew 28.4% in the second quarter as compared to the first quarter and pipelines and commitments remain high at June 30. Second quarter loan growth was driven by increased business activity and markets impacted by Marcellus and Utica Shale gas drilling, additional lending personnel, focused marketing efforts and expanded presence in our larger urban markets and continued improvement in our lending processes. Total shareholder equity improved at June 30 to $778.6 million, up 7.2% from last year and 4.3% from year-end. At June 30, Tier 1 leverage was 9.64%, Tier 1 risk based capital was 13.46% and total risk-based capital was 14.56%. Tangible equity improved to 7.74%, up from 7.07% last year and 7.35% at year-end. Our strong and growing equity ratios allowed the Board to recently increase the quarterly dividend to $0.22 per share as of April 2014, a 10% increase over the prior rate. In summary, we’re excited about the second quarter and our year-to-date 2014 performance as loan production increased, the net margin improved and core efficiency dropped from prior periods. Wealth management and securities brokerage was strong. Our loan production headlined by improved commercial lending volume and our second quarter sales campaign for home equity loans also helped improve loan totals. Expenses are well under control. Loan loss provision has hit a several year low due to continued improvements in credit quality. These factors have positively influenced core profitability and earnings per share growth. And we look forward to our growth prospects as business conditions continue to improve for the remainder of the year. We have strong alignment between our strategies, processes and tactics, focused execution driven by company-wide performance scorecards, will continue to drive above peer performance. This concludes our prepared commentary. We’ll now open the call to questions. Jim Gardill, Chairman of the Board will moderate the Q&A session. We will turn the call back to facilitator for questions.
Operator: We will now begin the question-and-answer session (Operator Instructions). And the first question comes from Catherine Mealor - KBB Atlanta, Georgia. Please go ahead.
Catherine Mealor - Keefe, Bruyette & Woods: It was really nice to see the pickup in loan growth this quarter. Can you all talk a little bit about your outlook for growth for the rest of the year? Do you think that you’ll be able to maintain this level of higher growth, both in the commercial portfolio and on the home equity side? Thanks.
Jim Gardill: Well, the pipelines are strong. The rebuilt during the second quarter and remain strong, so we’re optimistic about that. But as you also know, we’re also rebalancing the loan portfolio a little bit and making sure that we’re building C&I, building home equity loans and keeping overall concentration levels by product type, by market, in mind. So, we’ve got both of those, kind of factors, playing against each other. We could have seen higher loan growth in the second quarter but choose to participate some loans out to keep some concentration levels in line in some of the markets particularly non-owner occupied. So, we do feel bullish about loan growth for the rest of the year but I temper that a little bit with the need to continue to balance the portfolio.
Catherine Mealor - Keefe, Bruyette & Woods: Okay, thats helpful, and then Todd, you talked about a number of new management processes and scorecards and new sales processes. Do you see any increase in the expense dates as you embark on some of these new initiatives, or do you think you’re able to do these things without seeing a big increase in expenses as well?
Todd Clossin: Yes, it’s a great question. One of the things I was really pleased with when I got here in fourth quarter last year was how sophisticated a lot of the internal reporting tools are at WesBanco. And I did not need to go through multiyear heavy expense program to build the kind of reporting I needed to get performance scorecards across all the markets. It was here. It’s just a matter of formatting the information together, and then quite frankly setting up the calls and having the meetings. So, I only had to do monthly calls with all the presidents. And across every business line, I’ve got a series of seven or eight metrics that I use and I stack rank the markets by RM and by financial center. So it eliminates volume differences by market as per person, or per financial center so I’ve comparability across all eight markets. And I can then manage, who is at the top, who is at the bottom, and how do you share best practices. So it was actually fairly straight forward to set up. It probably took me longer to get the meeting schedule with meeting schedule then it did to actually prepare all the reporting because it was already here.
Catherine Mealor - Keefe, Bruyette & Woods: That’s great, thank you congrats on a good quarter.
Jim Gardill: Thanks Catherine.
Operator: And our next question comes from Scott Valentin with FBR & Co. Please go ahead.
Scott Valentin - FBR Capital Markets: Great, good morning, and thanks for taking my question. Just with regard to loan growth, I know first quarter obviously impacted by weather, it was depressed. I thought there was a chance for a bigger snapback in the second quarter, but Todd, you did mention some payoffs in the commercial -- I assume it’s the commercial real estate side. Can you quantify maybe how much that was, and I don’t know if dollar amount or percentage-wise, but how much of an impact that had on overall loan growth? And was it material?
Todd Clossin: I would we have an impact of above 0.5% to 1% for the quarter. And again there were number of loans and these were planned that we get refinanced in the long-term permanent market I was pleased to see that we were able to put enough loans on to grow pass that, that was a nice positive because of the pipeline. But I would say is if that hasn’t occurred, it would have been about 0.5% to 1%.
Scott Valentin - FBR Capital Markets: Okay, thanks. That’s helpful, and then just to follow up on credit. Credit metrics approved across the board, almost every credit metric got better, and you mentioned the strength of the shale area there. How much better do you think credit can get, given kind of the additional benefit you have from the shale relative to peers outside the market?
Todd Clossin: I think it’s interesting we talk a lot about the deposit activities shale related in the investment management opportunities, which are robust. But there are loan opportunities from that as well too in our legacy markets as the companies that are involved in shale related activities need financing activities to grow. That’s double edge sword. On the one end there is a growth and they need financing. On the other hand some of these companies are growing rather rapidly and we need to make sure they’ve got the infrastructure in place from a financial perspective to manage their growth, so that they focus cash flow and not just net income. So we’re spending a lot of time with a lot of our customers on just that topic as they grow very quickly related to the shale related activities. I think we’ve been able to help lot of them. And I think a lot of them are listening and improving their infrastructure. A company going from $10 million to $40 million to $80 million in revenue over three time period has got to change their internal reporting. I’m finding a number of banks are not having those conversations with those customers. We are -- and I think that’s helping the customers but also I think it will keep our credit quality pristine during this whole time period of growing financing related the shale related activities.
Scott Valentin - FBR Capital Markets: Okay, then one final question and I’ll hop back in the queue. When we think about getting improving credit and decline the charge-offs, and I think you mentioned the outlook for at least the near-term future is pretty positive from a macro perspective. Can the reserved loans continue to decline with credit improving or do you guys want to kind of -- is there a static level where the model says you guys should hold, kind of regardless of what near-term credit trends are?
Jim Gardill: Scott, first of all on that, we talk in the press release about we’re reaching near normal level in credit quality and provision. And as we continue to grow loans, we’re going to have to have some provision and maintain a reserve. What we’ve seen is the significant improvement in credit quality year-over-year and the provision this quarter comparable to the same quarter last year. So, it gives you a playing field where you see we’re leveling. Todd any further comment?
Todd Clossin: No, I think that’s a good answer. And we do look at the models, and Jim answered just same I would have. We do expect loan growth, organic loan growth, to continue and we’re going to have to reserve for that and we are approaching in the normalized levels.
Scott Valentin - FBR Capital Markets: Okay. Thank you very much.
Jim Gardill: Thanks Scott.
Operator: Our next question comes from John Moran of Macquarie. Please go ahead sir.
John Moran - Macquarie Capital Securities: So hey, I appreciate quantifying the impact that the payoffs had on loan growth. It sounds like it was probably about a 0.5% or a 1%. And then I think in response to one of the other questions you mentioned that you participated out some investor CRE. Could you quantify if that shaved a meaningful amount off the linked-quarter growth rate too?
Jim Gardill: No I don’t think that was meaningful and it’s lumpy. That 0.5% to 1% could be one quarter and you might not see it again for helping more quarters. It’s lumpy in terms of the way that it happens. We have participated out some loans with some other banks. But it wasn’t material enough to have a big change in the numbers.
John Moran - Macquarie Capital Securities: Thanks. The next one I had was just on, I think Todd, in your prepared remarks you mentioned some branch optimization, and then balancing that with growth. Are there plans in addition to kind of the one that you’ve got open now in Pittsburgh, to de novo more in some of these urban markets? And if so, do you have a kind of a net number of branch ads in mind for this year?
Todd Clossin: No, I really don’t have a net number. I mean historically, we’ve opened a branch or two every 12 or 18 months. I think one of the benefits we have with the strong deposit flow coming from the shale related activities, it’s a huge and enormous benefit, I think, to our organization. We don’t need to put up a lot of brick-and-mortar and wait for that to become profitable in order to generate deposits. We just open the doors every morning and the checks from the gas companies go to our customers and they deposit them in our bank. So with the royalty stream going out 50-60 years on some of that don’t have the lot of need to open branches from a funding perspective, now or in the longer term. But it does make sense strategically for us to have a presence in our key markets to support our commercial lending activity our business banking activity. Plus I really want to push more products through our distribution system that’s where the home equity product comes in, or our license securities brokers selling through the financial centers. So the bigger my network becomes of retail locations the more profitable I believe that our retail operation becomes. But it’s going to be driven by those fee types of business opportunities and supporting our other business lines will drive that more than a need for additional deposits.
Jim Gardill: John, you remember, we started branch optimization a number of years ago and as we’ve acquired banks, we reposition within market and do consolidations. And that’s a regular and ongoing process within the Company as we do branch profitability analysis. So, we will continue to work on improving our branch network.
John Moran - Macquarie Capital Securities: Great, that’s helpful and actually leads me into the next one on M&A. Todd, thoughts there? Chatter increasing, are you guys still looking around I mean, obviously you’ve got some excess capital that you could deploy, and I think you’ve had some really good success with one that you did in Pittsburgh. Maybe just a quick update there and in terms of how Pittsburgh is tracking and then thoughts going forward?
Todd Clossin: The Pittsburgh is doing very well. It got kind of equated as that one plus one equals three in terms of the presence we had, the presence Fidelity had and combined together we didn’t miss a beat we just continue to grow after the merger took place, so that’s been a real success for us. And we lean heavily on the people that came with us as a result of that acquisition to help lead and grow that marketplace. So that’s been a great opportunity for us. We do see opportunities from time-to-time. We continue to be disciplined. One of things I really enjoyed about this Bank is we got a good strong focused effort on organic growth and we don’t have to stretch to do deals that maybe some others might have to do to show improvement in earnings from year-to-year. We want to build an organic growth engine that allows that to happen. But we are interested in M&A opportunities if they are the right fit and they bring the right attributes to our Company, whether it’d be in market or whether it’d be in urban markets contingent to our markets. We’re interested in all of those. But we’ve always been disciplined. And if you look back over the history of our Company and look what’s happened from shareholder value retention and creation standpoint, we’ve used capital very well. We see all the activity that’s occurring but we also want to stay disciplined in terms of what we’re doing.
John Moran - Macquarie Capital Securities: Got it. Thanks very much for taking questions.
Todd Clossin: Sure.
Jim Gardill: Okay John thank you very much.
Operator: (Operator Instructions) This concludes our question-and-answer answer. I would like to turn the conference back over to Todd Clossin for any closing remarks.
Jim Gardill: Patrick, I will go ahead and close. Thank you very much. I did want to comment that we wore Todd out doing the entire presentation but I appreciated his role in presenting to you our conference call information this morning. It was a great quarter. We had an excellent quarter and the positive thing is we showed revenue growth, positive operating leverage, controlled expenses. And we had contributors across multiple business lines. So, it’s great to complete the first half of the year on such positive momentum. And we were pleased that you were all were able to participate in the call this morning and thank you very much for questions and participation. And we will close out Patrick. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.